Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to the Telefónica Brasil Fourth Quarter of 2020 and 2020 Earnings Conference Call. Today with us representing the management of Telefónica Brasil, we have Mr. Christian Gebara, CEO of the company; Mr. David Melcon, CFO and Investor Relations Officer and Mr. Luis Plaster, IR Director. We also have a simultaneous webcast with slide presentation on the internet that can be accessed at the website www.telefonica.com.br/ir. There will be a replay facility for this call on the website. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reforming Act of 1996. Forward-looking statements are based on the company’s management beliefs and assumptions and on information currently available. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties and assumptions because they relate to future events, and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the company’s future results and could cause results to differ materially from those expressed in such forward-looking statements. Now, I will turn the conference over to Mr. Luis Plaster, Investor Relations Director of Telefónica Brasil. Mr. Plaster, you may begin your conference.
Luis Plaster: Thank you. Good morning, and welcome to Telefónica Brasil’s Conference Call to discuss 2020 fourth quarter and full year results. The call will be divided as follows: First, our CEO, Christian Gebara, will give you an overview of our operational and financial performance. Then our CFO, David Melcon, will comment on the acquisition of Oi’s mobile assets, our cost and CapEx management and our shareholder remuneration for 2020. To conclude, Christian will comment on our ESG initiatives and then move to the Q&A. Now, I hand it over to Chris.
Christian Gebara: Thank you, Plaster. Good morning, everyone, and thank you for attending our earnings call. I would like to start by giving an overview of 2020. The pandemic has accelerated Brazil’s digital transformation which confirm the sincerity of our services. During this challenging year, Vivo delivered a solid set of results, driven by the increased demand for our high-quality and reliable connectivity. Our purpose of digitalizing to bring closer has never been so appropriate. We ended the year with 95 million access. In mobiles, we added four million customers ending 2020 with Vivo’s market share at historic heights of 33.6%. Our fiber deployment continue at full speed reaching 15.7 million home passed, an increase of 4.7 million HPs, which is more than double what we did in 2019. FTTH revenues increased by 52.9% year-over-year in the fourth quarter. In terms of profitability and despite the headwinds of the temporary confinement measures, our resilient EBITDA totaled BRL 17.8 billion. The EBITDA margin increased 0.2 percentage points year-over-year reaching 41.3% due to the performance of our growing business and effective cost management that I feel we’ll elaborate later in the presentation. We are also able to deliver our highest ever level of free cash flow, BRL 9.6 billion, growing 12.6% year-over-year. All these factors allowed us to propose a shareholder remuneration of BRL 5.4 billion for the year, with a payout of 113.6% and a dividend yield of 7%, which is more than 3x higher than the local interest rates. Moving to Slide 4, you can see that the recovery of revenues of key segment was consistent throughout 2020. Postpaid revenues grew 4.9% quarter-over-quarter due to the acceleration of net additions and continued execution of our More for More strategy. Prepaid also continued to outperform with revenues increasing 4.3% quarter-over-quarter, driven by a robust level of net additions and recurrency of top-ups. FTTH revenues rose 8.2% quarter-over-quarter, supported by the constant growth of the customer base and migration to higher speeds. Lastly, Handset sales continue to recover, growing 14% compared to the previous quarter. This performance was benefited by improved commercial activity and the success of our end-of-the-year campaigns like Black Friday. On Slide 5, we saw the transformation of Vivo’s revenue profile, which validates our positive outlook for the future. We divided our total revenues into two categories: core and noncore businesses. Our core businesses are based on high speed connectivity, both fixed and mobile, which is a key enabler for digital services. The results that Vivo is increasing its relevance in today’s cutting edge technologies like fiber, and is in the best position to explore the full potential of customers’ digital lives. Vivo’s core businesses include mobile, handsets, FTTx, IPTV, digital services and data & ICT. These segments represent 88% of our total revenues and grew 3.2% year-over-year, mainly due to the positive results for FTTH and consistent performance in mobile. The noncore businesses, which represent 12% of revenues and dropped 26.4% year-over-year are made up of mature legacy technologies that we have strategically decided to deprioritize. The fixed to mobile substitution and the voice to data migration are consolidated realities with no going back. We no longer foster the commercialization of ADSL which is an [indiscernible] technology, and we saw actively selling DTH back in mid-2019. As a result, and from now on, we’ll be focusing our presentations on the core business to better convey the company that lives today and the future that we foresee. On Slide 6, you can see that the total mobile revenues increased 1.6% year-over-year despite the impact of the pandemic on handset sales. Prepaid revenues grew 7.3% driven by an impressive volume of net additions and continued effort related to customer base management. The postpaid segment, which accounts for 57% of access and 80% of mobile services revenues was up 0.9% year-over-year and showed ARPU improvement. We continue to execute our More for More strategy and our combining data with a complete portfolio of co-branded digital services. These actions are paying off and we are optimistic going forward. Turning to Slide 7. We also again reaffirmed our mobile leadership and people’s market share remains at historic highs, reaching 33.6% in December of 2020. Postpaid churn saw reduction of 0.53 percentage points year-over-year and stands at the lowest level in five years. On the bottom left-hand side of the slide, we show the breakdown of postpaid additions and how they have been improving. In the fourth quarter 2020, we had 638,000 net adds. Prepaid also had another strong quarter of net additions, 905,000, which indicates how quality connectivity is increasingly important across all segments. On Slide 8, we show the performance of our core fixed business that grew 9.1% year-over-year. The data & ICT line decreased 4.2% due to many companies postponed investments during the pandemic. But we are convinced that Vivo’s revamped B2B portfolio puts us in a privileged position to capture this opportunity as soon as the economy picks up. FTTx revenues were up 13.8%, driven by the relevance of FTTH that represent 73% of these revenues. FTTH is our main growth catalyst, delivering an impressive 52.9% revenue increase year-over-year and a compound annual growth of 45% in the recent past. As we expand our FTTH footprint, IPTV access and revenues also grow. During the last two years, IPTV revenues posted a compound annual growth rate of 25% confirming the appeal of a high-speed broadband and content platform vessel. Moving to Slide 9. You can see the ramp-up of our fiber access and the constantly improving quality of our customer base. Our fiber products continue to attract more customers, which resulted in a 36% increase of FTTH access year-over-year. We also saw a substantial increase in FTTH ARPU, 13% year-over-year, mainly related to the demand for higher speeds. Moving to the right-hand side of the slide, we present acceleration of FTTH net adds that totaled $248,000 in the fourth quarter of 2020, 1.7x higher than the previous year. I would also like to highlight the high-value profile of last quarter’s FTTH gross adds. More than 35% were convergent customers. Approximately 30% were on speeds of 300 megabits. Approximately 20% were sold together with IPTV. And more than 25% were bundled with OTTs like Netflix and Disney+. On Slide 10, we show how our fiber deployment continues accelerating. As previously mentioned, we ended 2020 with 15.7 million home passed, an increase of 4.7 million year-over-year. By year-end, our fiber footprint covered 266 cities, reinforcing our commitment to offering a best-in-class experience across Brazil. The cities launched during the last two years, have already achieved expected penetration rate, confirming the accuracy of our strategic fiber deployment plan. Vivo has the largest FTT footprint in Latin America, which is equivalent to the sum of home passed in the UK, Germany, Netherlands and Australia. We also lead in terms of homes connected with 20.3% market share in FTTH, more than six percentage points ahead of the second player. But we still see that there is room for further fiber growth in Brazil, and we plan to reach at least 24 million home passed by the end of 2024. One of the ways that we’ll be doing this is by launching an independent neutral fiber network. The initiative is progressing well. We have entered an advanced phase of negotiations together with Telefónica Infra and a major international investor and expect the signing in the near future. Vivo will be the anchor tenant carving out 1.6 million brownfield home passed, and the target is to reach at least 5.5 million home passed with FTTH in four years. We will keep you updated as soon as there are further developments. Moving to Slide 11. We would like to share some KPIs that illustrate people’s initial success and expanding its portfolio beyond traditional telco services. One of our key initiatives is Vivo Money, our 100% digital personal loan platform. Vivo Money is in its early stages. But since launch in October, we have seen positive results. New contracts per month increased 2.5x, and monthly credit origination grew 2.4x in just two months. Vivo Money stepped up on only for simple and quick ones, but also for its focus on high-quality mobile customers with a digital profile. We’re seeing that Vivo Money is attracting customers that demonstrate higher adoption of our Meu Vivo chat. Another process in development in the fourth quarter was our digital marketplace, loja.vivo.com.br launched in July 2020. We had an increase of 6.7x its gross merchandise value quarter-over-quarter. Lojo Vivo is key to our strategy of becoming a one-stop shop for our customers’ technology and connectivity needs. Vivo Empresas is a digital hub for B2B, delivering a unique set of corporate solutions. Our Cloud and Cyber Securities segments proved how resilient we are despite of this year’s economic downturn and grew revenues 77% and 116%, respectively and other initiative, Vivo Ads, our digital preparing platform saw its revenues grow 14% year-over-year. In August, we launched a self-service sales channel aimed at expanding its reach to small and medium enterprises, making it possible for them to have access to mobile marketing campaigns. To conclude, the Terra Portal remains the third largest portal in the country with BRL 211 million per month in 2020, an increase of 35% year-over-year due to improved media coverage, which also contributed to Vivo Ads revenues. Now I’d like to pass it over to David, our CFO.
David Melcon: Good morning, everyone, and thank you, Christian. Moving to Slide 12, I would like to present a brief overview of the acquisition of Oi’s mobile asset. This opportunity will consolidate Vivo’s leadership in quality of services, one of our historic strength and contribute to the generation of additional value for shareholders through the capture of synergies. The joint bid that won the auction on December 14, 2020, was set at BRL 16.5 billion, of which we paid BRL 5.5 billion. [Technical Difficulty]
Operator: Excuse me. Speakers, you may proceed now. Thank you.
David Melcon: Okay. Thank you. Let’s continue with Slide 12. So these are the key milestones of the overall decision process, and we are confident that the transaction will be completed by the end of 2021. As you can see on the bottom left-hand side of the slide, that will represents a unique opportunity for Vivo with the utilization of spectrum frequencies, we will strengthen our value offering and through the acquisition of customers in regions where we have lower market share, we will be able to make better use of our network and broaden our customer base. Additionally, OpEx and CapEx synergies will certainly be enhanced by a solid track record of previous integrations, such as the case with the acquisition of GVT in 2015. Furthermore, this movement is positive, not only for Vivo but for the telco industry and Brazilian society as a whole. There will be a mass upgrade in customer experience given the improvement of network usage in all corners of the country and further acceleration of investment dedicated to infrastructure and innovation to advance Brazil’s digitalization process. Turning to Slide 13, we saw our continuous commitment to improving our cost structure, recurring costs, excluding good sold, contracted by 4.2% year-over-year in nominal terms. In order to discount the effect of inflation, we will see an even more impressive 8.7% decrease. G&A and personnel costs were benefited by ongoing optimization initiatives and temporary government measures such as payroll subsidiaries. Commercial expenses saw a 9.2% reduction, driven by our digitalization and simplification efforts. Another positive factor has been the greater use of digital channels across our customer base, decreasing expenses by commissioning, call center, billing and advertising. Provision for bad debt also dropped 9% year-over-year, reflecting our customers’ concern to maintain their payments up-to-date as well as the measure that we have implemented like offering the option to pay in installments. Cost of service rendered decreased 10% year-over-year due to the higher interconnection cost, valuable regulatory fees that are impacted by the acceleration of the mobile customer base and the growing demand for digital services that comes through partnerships. As a result, our recurring EBITDA totaled almost BRL 4.9 billion in the fourth quarter of 2020 with a margin of 43.6%. On Slide 14, we present figures from our digitalization and simplification fronts that are key drivers for sequential cost contraction and improved customer experience. In December, e-billing penetration hit 84%, a significant 12 percentage point increase year-over-year, while payments made through digital platforms now represent 64% of collections. Presently, we started offering digital technical support and this new way of caring for our customers already represent 25% of the overall technical support. We were able to reduce call center costs by 24% in 2020 through the growing use of channels like Vivo, artificial intelligence with Aura and a selection of WhatsApp solutions. The enhanced acceptance from our customers for a post that is digital was also seen in prepaid top-ups and B2C sales. In December 2020, 37% of the charges were made through digital platforms. And our B2B digital sales increased 61% year-over-year except there is still room to advance in the digitalization journey, both internally, performing our back offices and in the way that we interact and serve our customers. On the right-hand side of the slide, you can see that since 2017, we were able to deliver our OpEx savings of BRL 1.5 billion. Our OpEx savings improved sequentially from BRL 394 million in 2019 to BRL 624 million in 2020. We ended the year having reached 94% of our 2021 target of BRL 1.6 billion. But let me again reinforce that we are confident that we can do even more. Moving to Slide 15. On the left-hand side of the slide, we can see the performance of our smart CapEx allocation. Our CapEx ratio decreased 1.9 percentage points year-over-year, and our CapEx decreased 11.9% in relation to the previous year. Regardless of the reduction in CapEx, we invested even more in FTTH and cutting-edge technologies in general. Growing technologies account for 70% of our total CapEx investment. I would also like to share more details regarding our network sharing agreement with team that is divided into three main products. In 4G coverage expansion, we have already reached 348 new cities and we expect to close the first semester of the year with 730 cities covered, half for each operator. And on the other front, is a network consolidation that will result in a single-grid model, focused on cities below 30,000 in EBITDA. We are carrying out a pilot in 50 cities, which will be completed during 2021, I will then be able to define the next asset. The full potential of this front involved an extension of the model to 1,600 cities. Lastly, we have the 2G network shutdown, which means that each operator will swtich off half of the 2G sites. The alignment phase is ongoing and rollout is expected for the third quarter. Through network sharing, we will have additional 4G coverage, better network capacity and OpEx and CapEx efficiency. We are enthusiastic about the future of this agreement and incorporate our commitment to quality and the optimization of our investment. Turning to the next slide. I’m happy to report the conclusion of the unification of share classes. Since November 23 this year, we are trading with only the B3 tickers in the Brazilian market, while our ADR’s ticker remains unchanged. This represents a significant step towards a greater level of governance, granting all shareholders tag-along and voting rights. I would also like to give you an update about the share buyback program. So far, we have acquired 1.3 million shares for a total value of BRL 58 million. We continue to be active, and the program will be in place until January 2022. Finally, enforcing our commitment to our shareholders, we are proposing a remuneration of BRL 5.4 billion for 2020, which represents a payout of 113% and a gross amount of BRL 3.2 per share. Our dividend yield stands at 7%, more than 3x the local interest rate. The payment of this amount will be divided in two tranches, the first tranche of BRL 2.6 billion will be paid on July 13 and the second tranche of BRL 2.8 billion will be paid on October 5, 2021. This remuneration has been proposed by the Board of Directors and expanding the necessary approvals by the General Shareholders’ Meeting to be held on April 15. And finally, moving to Slide 17, you can see that our efficiency financial management and CapEx allocation continue to have a positive impact on cash generation. We ended the year with BRL 9.6 billion of free cash flow, our highest level ever. This result in combination with a low leverage, is what allowed us to consistently invest on our core business, consolidate Vivo’s leadership and look to the future with a positive perspective. Thank you. And now I pass the word back to Christian.
Christian Gebara: Thank you, David. To conclude today’s presentation, I would like to comment on the progress and some of the results around our commitment to ESG. Regarding our environmental initiatives, recycle with Vivo collected 7.7 tons of electronic waste in 2020, an increase of 15% in comparison to 2019. Vivo in its first local submission to the carbon disclosure project had the best grade in the assessment and was included in its prestigious A list. As for our social actions, Fundação Telefónica Vivo invested BRL 59.4 million in education last year that benefited 2.4 million students and teachers. In response to the ongoing pandemic, there was also an additional investment of BRL 36.6 million in donations, totaling BRL 96 million in 2020. Last month, Vivo also donated through Fundação Telefônica, an additional BRL 300,000 for the purchase of medical equipment in the state of Amazonas. Vivo was also recognized for its commitment to promoting diversity and social inclusion by winning the CNN Notable Awards in the diversity category. Another important achievement is the fact that we were classified as Industry Mover in S&P’s Sustainability Yearbook. Finally, Vivo maintained its listing in the main ESG indexes like Corporate Sustainability Index and Carbon Efficient Index, and our compliance program obtained the DSC 10,000 certificates, guaranteeing our conformity with Brazilian anticorruption laws and regulations. These are just a few examples of how Vivo seeks to be a protagonist in promoting sustainable development contributing to our society. Thank you, and we can now move to Q&A.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from Fred Mendes, Bradesco BBI.
Fred Mendes: Hello, good morning everyone. I have two questions here. I mean, the first one related to the FTTH, a strong increase again in the ARPU. And it looks like the higher speed products like the 300 megabytes is driving this growth. So in the first question here, do you see room to increase the ARPU above BRL 90 which is the average that we have here? And then on the same topic, if these clients that you are adding a very strong net addition again, if you are getting clients from the competition or if that’s based an upgrade from the corporate clients that you already have?
Christian Gebara: Fred, that’s Christian. The second question about the net adds, most of it is new customers that are coming in. So most of the net adds are coming from new customers. Also new cities that we enter or penetration of the existing network. So most of it is coming from new customers. Regarding ARPU, so – as you correctly stated, ARPU is improving for two reasons. We are selling more, the mix of high-speed 300 is growing. So we still see room for growing even more. And also, we are blended together with our broadband offer OTTs. So we started with Netflix, very successful. We added Disney+ and we’re going to add others in the near future. So blending content with fiber is a strategy going forward that we are going to follow and also increase and improve the mix of 300 or even high speed that is considered appropriate in the future will also be in our strategy. So ARPU may continue with this positive trend.
Fred Mendes: And if I may, just a quick follow-up. You briefly mentioned about the carve-out process during the beginning of the presentation, but can you give us a little bit more details on that or not yet?
Christian Gebara: Okay, Fred. So as – we ended the year with 15.7 million home passed. So out of this 15.7 million, we’re going to carve out 1.6 million. We’re going to contribute with this new independent and neutral fiber network, it’s a company by Brazil. So Vivo is contributing this 1.6 million brownfield HPs. Then we have an international investor as a partner and Telefónica Infra, that’s from Telefónica Group also as a partner together in this vehicle and in this company. The objective is at the end of 2024, we end with a network with more than 5.5 million HPs that contributed to the 24 million HPs that we said also in this presentation that is going to combine organic growth from Vivo. And this 5.5% originated by the neutral network.
Fred Mendes: Very clear. Christian, thank you very much.
Christian Gebara: Thank you, Fred.
Operator: Our next question comes from Leonardo Olmos, UBS.
Leonardo Olmos: Hi, good morning everyone. My question is on mobile. We noticed a very wide range of net additions in the quarter, a max with over three million subs in 300,000, and [indiscernible] 1.8. So my question is, I want to understand your strategy net additions in the fourth quarter 2020? What was it? And how do you see that right now in 2021?
Christian Gebara: Leonardo, that’s Christian. So as we stated in the beginning, we are seeing a recovery. I will talk about first postpaid and then we talk about prepaid. In the postpaid, after the very difficult months, March and April, what we saw after that was a reopening of the economy. And when the reopening of the economy occurs, we also opened our stores and our physical channels, and we see a better mood to offer the customers to go to malls and to stores and to buy telco services or technology services. So, I think we were able to capture this positive trend, this recovery of the economy and reopening of the channels. I also believe that our superior quality and customer experience drove the decision for some customers to select Vivo as their operator that you can see not only in the positive net adds and gross adds, but also in a very reduced churn. Our churn in the postpaid was one of the lowest ones in the last five years. So that’s the positive. And also, I think we’ve been innovating in our offer. We innovated in the hybrid and also innovated in the postpaid. Here, I will emphasize the Selfie plan. That is a combination of data with an OTT on value-added services. Here we have strong partnerships, and we launched it just after the pandemic started in May, June, partnerships with Happy for delivery, partnership with Netflix for video, partnership with Spotify for music, and partnership with Premier for football. And lastly, partnership with Disney+, and we are about to launch new partnerships. That’s driving this concept of buying content plus data in the same level of protagonism and not only having data with an added service as a secondary offer.  So, I think that stands out as very positive. And again, we’re also being able to migrate prepaid to postpaid. Our net debt in the prepaid, as you stated, is very strong. It was strong in the third quarter. It also gives us room for migration for the hybrid, and that’s also going to deposit. We recovered people with more mobility than they were before. People buying new SIM cards and that we are able to capture. Again, the quality, the coverage of people stands out. And also there is the government aid, the government also with some incentives that they put in place in the last year was also positive for driving consumption and the prepaid in this case was also benefited.
Leonardo Olmos: You mentioned that migration from prepaid to postpaid or hybrids. Looking at your own base, especially considering the new prepaid you recently had, how long do you think that can go? How long can you – how many more clients can you migrate on prepaid to hybrid or postpaid?
Christian Gebara: Leonardo, prepaid is increasing the base. Also when we keep bringing customers in, there’s always room for migration. And I cannot tell you for how long. I think we are putting a lot of effort in creating a very wise with very attractive portfolio coming from prepaid, going to hybrid, going to Selfie. Selfie is an individual postpaid plan going to the family plan that already stands for different needs, one family together wants to have a plan. So I think here, the – and we have people use our plan that is also sort of entry postpaid plan with a very personalized offer using credit card. So, I think it’s much more our ability to drive customers into people and get them with the best offer that’s best for their needs. Now our percentage of postpaid customers is very high, as you know. And here, I think is our ability to drive our prepaid to postpaid. So that’s why our revenues coming from postpaid is much higher than the one coming from prepaid. So that’s the ability that we have to do that. So today, we have 45 million access in postpaid and 34 million access in prepaid, but this 35 million was asked by – we added one million in the last quarter. So once we continue keeping this number growing and moving this number to the postpaid, I think it’s a mid-long-term strategy.
Leonardo Olmos: All right. Thank you very much.
Christian Gebara: Thank you, Leonardo.
Operator: Our next question comes from Marcelo Santos, JPMorgan. Please proceed.
Marcelo Santos: Hi, good morning. Thank you for taking my questions. I would like to explore a little bit more the digital initiatives that you put on Slide 11, Vivo Money and Vivo Marketplace. I wonder if you could give a little bit more color? On Vivo Money, how far has this been running as a fully implemented initiative? I understand you ran it as a pilot for a while, but is it available to all? What are the main hurdles to grow? And what alternatives of funding are you studying? Do you consider launching some kind of technique? Any data you could share about losses like delinquency and things will be interesting? So anything basically. And on the Marketplace, how – what kind of channels, I mean, are they just using more the app? Or is it more through the Internet? What are the incentives you’re putting to bringing sellers? How do you work logistics? So basically, if you could give some more color on these initiatives, that would be very helpful?
Christian Gebara: So Marcelo, good question. I think to start, we strongly believe in our ability to leverage digital services through our customer base, channel capillarity, both physical and online or big data capability and the strength of our brand. So Vivo money that we included in this presentation is one example among many others that we are working on different sectors and different verticals, financial services is one, hardware and accessories is another one, health is another one, education, entertainment, so there are several ones. Vivo Money, we’ve been working a lot in this project for a long time. And we have been very cautious and conservative the way we want to expand it. We launched it commercially in a segmented approach in October was when we started offering this to a segmented customer base, it’s not for everyone. And we started with hybrid and postpaid customers. We still haven’t addressed the prepaid customers. That is most of the target that is maybe more aligned with the needs of this credit. What we started offering for these customers, it’s loans that’s coming from BRL 1,000 to BRL 30,000. And it’s 100% digital, as you asked it also. So we normally do that through push marketing campaigns that the customers could click and then get the credit. And also over our customer base, sometimes on SMS, we’re also using it to address customers in the need of a loan. The rates we want it to be attractive. So we compare ourselves with similar companies that are offering credit or loans to this customer base. Most of them are not banks. Some banks are answering that, but others are companies that are just addressing the financial needs of this customer base. Here, we started with FDIC and we are going – is funded by us, but we’re going to add more partners as it grows. What we’re trying to show here is what we had in October was multiplied by 2.5 on what we had in December. We are being – opening up a little bit more or getting awareness of the service. We are not doing a massive campaign, putting onto fee or using all the channels available to market what this people money, we’ve been very conservative and cautious to start growing on that. That’s only one piece of a financial service strategy that we have. We’re going to be talking about more financial services in the near future. Today, if you consider that our customers, they go and they buy most of my – today, we reached more than 35% of our top-ups and prepaid already then digitally. Why not the top-up that is digitally executed could not aim to be a wallet. So today, they use this money only to buy data and buy a prepaid plan. We foresee that the same money that they put in the prepaid app, it could also use to buy other services. So that’s also the initial thought that we had for wallet that is a Vivo Wallet that we started from a customer base. There are already users for the top up, as I mentioned before. So, there are many other insurances or something that we already sell. So that we have business and Vivo Money is another piece in a larger and broader strategy to have a relevant role in financial services. And the other one that is in the slide, only to mention if you want is a marketplace. We have an e-commerce and our e-commerce sports center in selling our services, Telco services plus the smartphone that is very close to the core, that is the mobile service. We’ve decided to open up to be a marketplace for technology not only selling the products that we have in our own store, but adding together stores from other players. So that’s why we call it Loja Vivo, that’s a marketplace. So you can buy a smartphone, you can buy an accessory, you can buy a service from people, but you can also buy a fridge, you can also buy a blender. You can also buy different types of accessories. We strongly believe that we can go much further with that. And so that’s why we mentioned for the first time this with a number that is multiplied by seven almost – in the third quarter and now in the fourth quarter is multiplied by seven are the results that we have in the third quarter. And only to address some of the questions that we normally have, how can we leverage customer base, big data, customer channel capillarity, the strength of the brand, and also our deal capabilities. These are a few examples that we’re going to bring more and more as soon as they develop. So – to know if I address all your question, Marcelo.
Marcelo Santos: Great. Thank you. Thank you very much.
Operator: Our next question comes from Susana Salaru, Itaú.
Susana Salaru: Hi, good morning. Thank you for taking our questions. We have two. The first question is related to the FTTH growth. It is actually expanding very fast. So our question is how – what’s the pricing strategy you want to get to at one place if you have a more aggressive pricing targeted to be able to maintain this level of growth going forward? That would be our first question for FTTH. The second question is related to the top half of the prepaid. How much more you believe that you can believe in terms of a legal recharge? I mean, we are asking that’s an exploration because we understand that the acute costs in the prepaid – the acute cost of prepaid is the top-up cost. So there was – yes, I’d like to know, two years from now, do you believe that attributed percentage of this charge is done digitally versus non-digitally to ensure our dealers that would be an important driver for margin expansion?
Christian Gebara: So Sara, can you repeat the second question? I didn’t get it. I cannot answer the FTTH, but what is the question? I understand everyone – the prepaid, what is the question? The top-ups?
Susana Salaru: My question is following the top up today are digitally like 37%, but the 37% of the recharge are digital. Two years from now, what percentage of use or recharge, we believe we can reach? We are asking that because we believe that’s an important driver to expand margins. So actually, if you are right with it’s actual cost that can actually be better managed and accelerate margin expansion?
Christian Gebara: So, I think we’ve been growing a lot in top-ups through digital channels. And there are always new digital channels coming up. So it’s difficult for me to tell you what is going to be the limit. And I think also many more people are getting credit cards. So when the people have a credit card, he has more access to digital channels. We have new wallets coming in, in the market. These wallets also help the digital penetration. So if you see some of the new brands coming up in the market that are used to buying in online channels. And I’m not going to name them, not to be naming one and not naming other, but there are many, many companies bringing up digital payment solutions. All of them they have been adopted by people. When we adopt these new ways of payment, we see an increase – an important increase in the usage of digital channels. Now the peaks also will facilitate people to get money and facilitate people to have an account, and facilitates people to transfer this money to a wallet. So that’s why also I answered before Marcelo that we see an opportunity for us to develop our own wallet. So the number that we see here, I believe, is going to be much higher. I think the two things will be very aligned with the circulation of appeals in the market. Some people believe that bills will be over in few years. If they are over, digital channels will be most of our top-ups. So there is room to grow. And we are growing constantly. In the first one in the FTTH, as I said, we are the largest fiber network in the country. Last year, we got 4.7 million new homes. We’ve got almost one million new customers. We have an ambitious plan to go to more cities. We are overlaying some of our ADSL and FTTC network when believe there is an opportunity. We still haven’t played convergence. We can play convergence. We have the highest market share in mobile. We are – we have strong partnerships with OTT bringing content to the FTTH offer. So, I believe there is room for much more growth. And that’s why we are doing this independent neutral fiber network because we foresee as a great opportunity for Brazil where the penetration of ultra-broadband is still low. And we see Vivo as the leader in what we call convergent offer that is mobile, fiber plus OTT. We are in a unique position to do that.
Susana Salaru: Thank you. Very clear.
Operator: Thank you. Our next question comes from Soomit Datta, New Street Research.
Soomit Datta: Yes. Hi there. Thanks for taking my questions, a couple, if that’s okay. First of all, on Oi’s, we have quite a bit of guidance from your kind of peers, Telecom Italia last night on how their business would look with Oi’s. I guess you’re not giving anything specifically, but I wondered if you could maybe add a bit of color as to the direction of numbers when we think about incorporating Oi, specifically as well, they kind of guided up to some incremental CapEx in 2021 ahead of the deal close? And I wondered whether you were going to see a similar step-up in CapEx, kind of preparation CapEx, if you will? That’s the first question, please. And then secondly, on the balance sheet, you’re paying a generous dividend this year above net income, you’re buying back stock. Where would you sort of envisage the leverage of the balance sheet getting on a sort of two-year basis?
Christian Gebara: So thank you for the question. This is Christian. So as you said, we are not giving much more information about Oi’s. I think what we saw here is the process that we’re going through and the stake that is for people if the deal is approved, by Anatel and antitrust institution in Brazil called CADE. What you see here is the opportunity to bring customers to our customer base. And that with no additional cost. Now these customers will be served by our existing network. If you see areas that may be more aligned with people’s lowest market share and areas where we have a very strong and robust coverage, not only in 3G, but mainly in 4G, different [indiscernible] in some of these areas our coverage would be superior and our quality will be superior with no additional cost in this case of bringing these customers in. Also under customer care, we are able to also treat – take care of these customers with our own structure, have a robust structure for digital channels, stores and call center enough also to address incremental number of customers that we may have if this operation goes through. We don’t have – we don’t consider additional CapEx for this year, CapEx, as you asked. And that’s going to be absorbed in our project for the year. And it’s different from our competitor, we don’t give guidance here in Brazil about our numbers. But our CapEx will be controlled. I think we had an additional CapEx in the past for acceleration of FTTH that we said that we do that three years ago. Last year, we ended with BRL 8 billion. So we’re going to work and the number last year was unusual because of pandemic, but were going to come back to the levels that we had when we needed to accelerate FTTH. Regarding dividend, I think David can answer you.
David Melcon: Yes. Thank you. Thank you, Soomit, this is David. Let me cover the second question. So we continue with our policy to distribute 100% of the net income. And this year, on top of that, we added up BRL 600 million of distributed reserves that we had in the balance sheet. So we ended up having a very attractive shareholder remuneration. That was – it’s around the dividend yield around 7%, which is 3x the [indiscernible], which is the locally interest right now. So considering that this year, we’ll have a very, very strong free cash flow generation of more than BRL 9 million, that means that we will still have additional cash that could be used partially to final acquisition of Oi’s mobile assets that we hope will happen we expect by the end of the year. And then we’ll still – we are suspecting, I mean, this year, there will be the 5G spectrum auction. And again, we will expect to leverage the company to absorb these payments and having such a strong balance sheet that we have today and the low interest rate that we are enjoying now here in Brazil, we say we have the best combination to combine growth, to keep investing in our core business, to have a strong shareholder remuneration as we have already shown over the last few years, maintaining our policy of 100%, plus to be able to fund at a very attractive interest rate all the opportunities that are coming in front of us, as I say, Oi’s mobile and also the spectrum auction that we will have during this year.
Soomit Datta: That’s really helpful. Just a very quick follow-up, which is, what is your latest expectation for the 5G auction in terms of structuring cash upfront or wrapped into future coverage? And what is the expectation for timing?
Christian Gebara: The 5G, we expect – I don’t have an official date, but the government has been stating that they want to do it by June, July. We still need the rules of the auction to be defined, approved by the regulatory institution, Anatel, they may do that this week. There was a first vote – first Q3 votes, and then there was asked for the President of Anatel to review the documentation about the ruling of the auction. There are some obligations related to the auction that still need to be defined. The investment required end of gap for this investment. So we’re still waiting. We may have some news in the following days. These numbers of the value of the auction also needs to be approved by – relative to what’s going to be charged. So we need to get through the process that take a few weeks or months. And once it’s ready, we’re going to get prepared to that. So I don’t have any more news than the ones that is in the press. And we wait for a final meeting in Anatel to move the process.
Soomit Datta: Okay. Great. Thank you.
Operator: Our next question comes from Maria Teresa Azevedo, Banco Santander.
Maria Tereza Azevedo: Hi, thank you for the question. Just a follow-up on the previous question on 5G. Can you please comment on your 5G strategy plans? Are you going to focus more on personal mobility or fixed wireless access? Or do you expect early adoption on B2B automation and IOT? And also in that context, do you see any opportunities, not only on the ARPU, but also on the cost side, from having 5G networks with softwarization, virtualization that could optimize your network maintenance cost? That would be all.
Christian Gebara: Maria, it is difficult for us to share the strategies that we are planning for 5G. It’s registered at most of the topics that you just described. Of course, there is usage of data, mobile usage of 5G that may increase. There are the usage of some apps or solutions that can use with fiber but not with 4G. So 5G may also be helpful for that. And I mean, gaming and many other entertainment that – well, 5G’s experience will be much better with the speed and the latency related to that. Of course, we foresee the big number of new applications with IoT or B2C with connected homes but B2B mainly, as you just described, as been doing some private LTE network with important clients in Brazil with great success. I’m sure that with 5G we’ll be able to do that in a more massive way with better results. And here we are being working and already planning our business, industrial clients and many others under 5G. They also mean a different way of structuring their whole business. So again, and then in the end, you may consider smart cities, difficult to see the money that we’re going to capture from that right now. We still have time for that and many other applications that we’re seeing in other countries. Speaking of wireless, our focus is in fiber is FTTH. But why not in some remote areas to complement our footprint, as you’re seeing here that we may end 2024 with 24 million home pass, there are many other homes in Brazil and why not complement this strategy as we do complement with 4G sometimes with FWA solutions. So we’re open to all of them. In the cost side, it’s difficult to tell you. There is, of course, some automation that may be captured, but there are many more sites that needs to be put in place for 5G. And I think you are again pioneering in sharing infrastructure. We’ve been doing that with team and we’re open to do more also in 5G. So we’ll be starting with 4G team, 3G, we are piloting single grade 3G, 4G. And again, we’ll be opening to do that also in the 5G.
Maria Tereza Azevedo: Perfect. And just as a follow-up question. Do you have any additional color you can share on the fiber [indiscernible] process? Do you expect that you can improve your returns on the fiber in the mid cities and reduce a little bit your CapEx? And how are you thinking about the franchisees as well for the smaller cities?
Christian Gebara: You talking about the franchise in Terra or the Fundação?
Maria Tereza Azevedo: Both, actually.
Christian Gebara: Okay. The franchising that we have with the Terra brand, it’s very focused on smaller cities. The number of franchising is not in the number of 24 million home passed that I said. We have already launched seven cities with franchise. The model is different. The CapEx is 100% for the franchisee. So Vivo has no CapEx. And the revenue, we only have royalties from the franchisee of royalties that is paid to the – sorry, the franchising fee that is paid from the franchisee to Vivo. So it’s a different model, very focused in smaller cities. We have here the target of cities with less than 60,000 inhabitants that it’s more appropriate for franchising. So we continue with this project, opening up in the different regions of the country. And also I said, we had seven and planning to have more. So that’s part of the strategy. Here, the CapEx, as I said, it’s zero, because it CapEx is not ours. In the other model, that we already have in place with American Tower or Phoenix Tower. So there are a combined model where the CapEx is split between Vivo and the partner, in this case, talking about American Tower or Phoenix Tower, together we have already more than 25 cities. Part of the CapEx is responsibility of the partner and it reduces our Capex. And we pay for home connect, and there’s an OpEx related to any customer that we connect. There’s going to be a similar model that we’re going to put in place with FiBrasil, lower CapEx and the OpEx related to connecting new customers. And also give us the speed [indiscernible] it’s not only the Capex, OpEx formula, also speed. If you consider the case of American Tower in Buenos Aires, they bought a big telecom. So we leverage from the infrastructure there, we put part of infrastructure that we already have there. We already our Capex, and we can address this opportunity much faster. If you consider that our aim there is to get to 800,000 home passed, we already surpassed 300. So, we are doing very fast, moving very fast with very good results.
Maria Tereza Azevedo: Perfect. And the fiber spin-off is also in a branch box, right?
Christian Gebara: What – the fiber is spin-off is what?
Maria Tereza Azevedo: Is in advanced stages, and it could also drive a lower CapEx impacts on your balance sheet?
Christian Gebara: Yes. It is in a very advanced stage. And the model is more or less the same that I said that we are developing with ATC American Tower. Part of the CapEx is responsibility of the partner. In the case of Brazil, part of the CapEx will be responsibility of Brazil. And we’re going to be the anchor tenant. So we’re going to penetrate that we still have the CapEx related to the CPO, the customers’ premises equipment. And we pay an OpEx for the usage of this neutral network [indiscernible].
Maria Tereza Azevedo: Perfect. Thank you very much, Christian.
Christian Gebara: Thank you, Maria.
Operator: Our next question comes from Alejandro Gallostra, BBVA.
Alejandro Gallostra: Hi, good morning everyone. This is Alejandro. Thank you very much for taking my question. You mentioned at the beginning of the call that most of the new subscribers in FTTH come from new customers. However, the pace of these connections from other technologies is still outpacing the number of net additions in FTTH, even though you benefit from entering new regions with FTTH. So my question is, what do you think – why do you think customers from other technologies are migrating to other companies. What is – why do you think – or what are the offering that you do not this stage? And what initiatives are you taking to increase the rate of retention of these customers?
Christian Gebara: Okay. Thank you, Alejandro, for the question. I restate what I said. Most of the customers that we are bringing to FTTH are new customers. No, your question is correct as well. The issue here is not – the areas are not the same. Sometimes, I’m coming to new cities. Most of the cities that I entered last year, I don’t have any network. No, I only have network, if I used to have FTTC, then there is an overlay on a new city. Or if I’m doing overlaying in the state of São Paulo, that is the only place that I have copper, no ADSL, no different from other players, our concentration of copper is exclusive in São Paulo. Then we have another few cities where we bought from GDT where we have FTTC. So the markets where I enter or the markets where I’m losing customer, as you correctly stated, are not necessarily the same. When I am overlaying, when I’m entering, I’m losing these customers to myself. So these are the percentage that is the minority of customers that migrate from ADSL, FTTC to FTTH because they put the network there and they connect. They are already have people customer and it’s much easier, and they migrate to FTTH service from the same operator. But in some cities or in some places, I’m not there yet with FTTH. So this customers, the ADSL customer or FTTC customer may find out of another alternative with higher speeds that I cannot offer with ADSL and FTTC. I’ve been trying to retain this customer but if he is an ADSL customer with a 4 megabit speed in their broadband, and I face the competition of a local fiber provider offering this customer 100 or 200 megabit, it’s impossible to retain. The customer, who is willing to pay a little bit more, they will certainly migrate to this new technology. But this same happened to us in places where we were not there. There was someone that captured my customer that used to be DSL, and now I’m winning back this customer. So it’s a mixture of different scenarios, Alejandro. So they are not so easy to put a number. The only thing that I can say is where I get a migrate, I’m migrating because of deploying the network. Where I’m not deploying the network, I’m trying to retain. But normally, I lose the customer because they have an alternative with much higher speed and we’re answering and capturing the customer. Even if the customer is in another technology with higher speed, normally fiber is the winner. So I win back this customer. It is a different technology with good speed, but not as good as fiber for upload and download. And even when it’s in a fiber local provider, I’m able to capture this customer because I offer fiber, I offer ATT blended, I offer IPTV for those who want to buy IPTV. And in the future, I also play convergence, I offer mobile plus FTTH.
Alejandro Gallostra: Okay. Great. And how long do you think it will take you to cover with FTTH, those regions would you still cover with only FTTC?
Christian Gebara: I mean, overly all the areas that I think are interesting for me that it’s financially attractive. So it’s not – it doesn’t mean that I’m going to migrate on overlay 100%. And in some neighborhoods, some of the decisions of deploying FTTC were taken in the past. And we may agree to continue to just offer FTTC in these regions. And in some regions, as I see value we may migrate. So it’s – I don’t give you a number as part of our strategy, but it will depend on the value that we believe we can capture.
Alejandro Gallostra: Okay. Thank you very much for the explanation.
Christian Gebara: Okay, Alejandro. Thank you.
Operator: This concludes the question-and-answer session. At this time, I would like to turn the floor back to Mr. Christian Gebara for any closing remarks.
Christian Gebara: So thank you all for joining our call today. If you have any additional questions, as you know, you please access our IR team. I hope to see you soon in our first quarter of 2021 results release that will be in April. So thank you so much.
Operator: Thank you. This concludes today’s Telefónica Brasil 4Q 2020 Results conference call. You may disconnect your lines at this time. Have a great day.